Operator: At this time, all participants are in a listen-only mode. I will now turn the call to Mr. Steve Ferranti, MACOM's Vice President of Strategic Initiatives and Investor Relations. Mr. Ferranti, please go ahead.
Steve Ferranti: Thank you, Shannon. Good afternoon, and welcome to MACOM's conference call to discuss the Financial Results for our First Fiscal Quarter of 2021. I would like to remind everyone that our discussion today will contain forward-looking statements, which are subject to certain risks and uncertainties as defined in the Safe Harbor for forward looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those discussed today. For more detailed discussion of the risks and uncertainties that could result in those differences, we refer to MACOM's filings with the SEC. Management statements during this call will also include discussion of certain adjusted non-GAAP financial information. A reconciliation of GAAP to adjusted non-GAAP results are provided in the company's press release and related Form 8-K, which was filed with the SEC today.
Steve Daly: Thank you and good afternoon. I will begin today's call with the general company update. After that, Jack Kober, Our Chief Financial Officer, will provide a more in-depth review of our first quarter results for fiscal year 2021. When Jack is finished, I will provide revenue and earnings guidance for the second quarter of FY '21. And then we will be happy to take some questions. Revenue for our first fiscal quarter was $148.5 million and adjusted EPS was $0.46 per diluted share. Our book to build ratio was 1.1 to 1 and our churns business was approximately 15% of our total revenue. Overall, we are pleased with the continued improvements in our financial results, which are made possible by the tremendous work of our dedicated employees. Our Q1 revenue by end market was generally as expected and included industrial and defense at $61.6 million, telecom at $51.5 million and data center at $35.4 million. Industrial and defense was up 29% sequentially, telecom was down to 7% sequentially and data center was down 20% sequentially. As indicated by our positive book to build ratio, the demand for our products has strengthened. As we look forward, we believe that our IND business will continue to perform well that our telecom business will begin to benefit when China's Telecom carriers resume their 5G build outs and that our data center business will begin to steadily improve as cloud service providers and enterprise demand increases. Q1 was a positive start to our fiscal 2021 and we believe we are on plan to meet our financial and technical objectives. Our goals for the fiscal year include, at least 10% year over year revenue growth, expanding our product and technology portfolio to drive long term growth, improving our sales strategies to win market share, focusing on engineering excellence and ramping new product introductions and optimizing the efficiency of our operations to improve profitability, and cash flow. The semiconductor industry has recently seen a broad increase in demand. We believe this is causing higher than normal levels of utilization within some portions of our supply chain, particularly at external foundry partners, as well as our assembly and test suppliers in Asia. We do not expect this temporary tightening to have an impact on our ability to serve as customers. Our operations team does an excellent job working with our key suppliers to ensure our goals are met. We manufacture a portion of our semiconductor product portfolio internally. In fact, we believe our wafer foundries in Massachusetts and Michigan provide us a competitive advantage. These facilities manufacturer differentiated compound semiconductor process technologies that are at the foundation of some portions of our broad product portfolio.
Jack Kober: Thank you, Steve. We had another sound quarter of financial performance for our first fiscal quarter of 2021, posting sequential improvement in revenue, margins and earnings per share. Revenue for our first quarter ended on January 1, 2021 was $148.5 million up approximately 1% from our fiscal Q4. The sequential improvement in revenue was driven by strength in the industrial and defense end market which more than offset anticipated declines in data center and telecom. On a geographic basis, approximately 43% of our Q1 revenue was from domestic customers sequentially up from 36% in Q4. Adjusted gross profit in fiscal Q1 was $85.4 million, or 57.5% of revenue, adjusted gross margin was up 110 basis points sequentially. The sequential improvement in gross margin was supported by ongoing continuous improvement initiatives that we have underway at MACOM. These include increased manufacturing efficiencies around production, cycle times, utilization, and scrap reduction, as well as supply chain and logistics enhancements. We feel there will be additional opportunities for us to continue improving our gross margins as we move forward. Total adjusted operating expense was $47.6 million, consisting of R&D expense of $31.8 million, and SG&A expense of $15.8 million. Operating expenses were down $1.2 million sequentially, primarily due to our ongoing companywide focus on expense management. One area of focus for us has been the optimization of our worldwide office lease footprint. Over the last several quarters, we have continued to consolidate offices, implement sub leases in space that was underutilized and also exit facilities that were no longer needed. The net result of these actions has been around a 10% reduction in square footage, which helps drive savings well beyond rent expense. These efforts are ongoing and we are continuously looking for innovative ways to improve the efficiency of our facilities. This is just one example of the many internal initiatives we have in place. Our operations and administrative teams remain highly focused on the details of our operations to find ways to manage our discretionary spending. I would like to note that we do maintain a long-term perspective on our R&D spending and we will carefully continue to balance the management of our discretionary spending, with investments in new product development and other growth opportunities.
Steve Daly: Thank you, Jack. MACOM expects revenue in Q2 ending April 2, 2021 to be in the range of $148 million to $152 million, which is approximately 18% year-over-year growth at the midpoint. Adjusted gross margin is expected to be in the range of 57% to 59% and adjusted earnings per share is expected to be between $0.46 and $0.50, based on $70.2 million fully-diluted shares. In Q2, when compared to Q1, we expect industrial and defense to grow around 10%, data center to be flat and telecom to be down approximately 10%. In summary, we stand in front of a multibillion-dollar SAM with a unique technology portfolio. In any given quarter, we expect some end markets will experience periods of high growth in periods of low growth and possibly even negative growth, which is normal for our industry. For these reasons, our strategy is to establish a diverse portfolio of products, customers and end markets. We maintain a long-term perspective on executing our strategy and we will work to manage our business to be profitable throughout all business cycles. We are confident we can continue to improve our financials and take market share in the months and years ahead. I would now like to ask the operator to take any questions.
Operator:  And our first question coming from the line of Harsh Kumar with Piper Sandler. Your line is open.
Harsh Kumar: Yes. Hey guys. First of all, huge congratulations. Tremendous execution. And Steve, boy, you weren't kidding when you said you guys are focused on supply chain and operational enhancements. So tremendous move there. I just had a couple of questions. So, revenues are going up to your largest end market - industrial and defense is starting to move. Your OpEx is coming down. You mentioned some real estate type benefits where you consolidated some facilities, but was there any operational stuff that was done relative to people or other measures in that?
Steve Daly: Good morning, Harsh, and thank you for those comments. So, no, nothing particular to call out regarding staffing levels. In fact, we're in the mode of hiring and we would expect to continue to hire throughout the year. You are correct, though, to point out that we have been very focused on controlling costs. If we look at our overall OpEx from our Fiscal 2019, to Fiscal 2020, it came down about 20%. As we exited our Fiscal 2020, we feel that our CapEx level is at the right level, let's say. We're able to execute our I&D plans, we're looking at investing in new technologies as we highlighted with our GaN-on-silicon carbide project. And we are also at the same time very focused on running a more efficient business. And maybe jack can comment on some of the programs in more detail.
Jack Kober: Thanks, Steve, and good morning, Harsh. As Steve noted, we do have a number of initiatives. In my prepared remarks I did talk about some of the office lease initiatives that we have underway. But there's numerous items that we have that continue beyond operating expenses, and operating expenses comprises both R&D and SG&A. We are in that hiring mode that Steve had noted, but we're also in the mode of making sure we can focus on our operating expenses and reduce unnecessary costs where possible. There probably is some bit of a reduction that we've seen over the past year as a result of COVID primarily on the travel front, but that's I'd say in the noise levels, but something that would be a headwind once we emerge from the COVID time.
Harsh Kumar: Understood, guys. And for my follow up, Steve, a question for you. One question that we get a lot from investors is how do you size the new markets that you're going to enter in second half calling lasers in silicon photonics? So, A, what is the size? And then what is your available opportunity within that? And then maybe you could update us on timing as well and then I'll be done with my questions.
Steve Daly: Sure. Well, first of all, I think it's very difficult to size the overall laser market because we are in three very different end markets including access, infrastructure, mobile, front haul, infrastructure, and even backhaul infrastructure. And then also the data center. So, depending on what you include in terms of the overall, SAM, for those three large markets, the number will vary quite a bit. So, I would be hesitant to first of all, size that SAM for you. And by the way by extension, I would almost apply the same logic to silicon photonics, it really depends on what we include in those end markets. I will say regarding the timing - I'll say a few words about each - we have made tremendous progress on our laser development. And if you remember at CIOE back in September, we actually demonstrated to the market a 25G DFB for very specific 5G applications, where we demonstrated that we had product that worked in CWDM6, MWDM12 and a variety of other standards. The reason why this is important is as the front haul infrastructure is being developed in China specifically, we see that the operators are using different wavelengths and different modulation schemes. And when you add up all the different wavelengths for all the different modulation schemes, you literally get dozens of wavelengths.  And I'll highlight that some of these lasers are operating at different temperature ranges, including what they call iTemp, or eTemp, or dTemp . So it's a very complicated matrix and the good news is, since September when we made those demonstrations, we went through a phase of sampling customers really over the past six months. We've had very positive feedback on the performance of our lasers. I would say that we are now moving into that phase where customers are more seriously looking at the product in going through a selection process. And we think that overall, we will have very favorable results as we start to get qualifications. I can tell you that and just generally speaking, in terms of 5G front haul modules, there's roughly eight million to 10 million modules manufactured a year and that's sort of based on 600k base stations. That number will change. We think over time, it will go up. And then if you look at how the operators are laying down their fiber, we'll see that some of those modules might have six different lasers in them or 12 different lasers in them depending on the application. To summarize, I would say that we are in a very good position right now. As we look at the back half of our year, we are tempering our expectation, we know that these qualifications take time and so I would only recommend that investors recognize that we are setting ourselves up for success here, but we're keeping very modest expectations in the back half of our fiscal year. Regarding silicon photonics, the work there is primarily focused on launching our first products, which means we need to complete the development. We are focused on basically 400G applications. We do not believe we'll be launching a product this fiscal year, but we will be getting very close to completing the development work. So regarding expectations for revenue contributions in the back half of our fiscal year, I would say that you should take that out of your models, it's more of a fiscal 2022 activity.
Operator: And our next question coming from the line of Tom O'Malley with Barclays. Your line is open.
Tom O'Malley: Good morning, guys. Congratulations on the really nice results. My question was just around the shape of the fiscal year. You're seeing this I&D business now that's growing pretty strong double-digits. You talked about 10% growth. I'm sure that's a soft target. I'm sure internal expectations are to outgrow that. But could you talk about what you're seeing in the second half that kind of gets you to that double-digit range? If you keep seeing this growth on the R&D side, you get there pretty easily. Are you looking at telecom and datacom  and expecting some weakness from one of those in the back half  that kind of offsets? Any color around just the moving pieces into the back half would be really helpful.
Steve Daly: Yes, thank you. So, we do expect our I&D business to continue to be strong this fiscal year. We're very confident of that. We are hedging our expectations for data center and telecom for some of the reasons that I stated earlier on telecom specifically, the sort of that unknown of what will be happening in China regarding the timing and the deployment and the number of base stations that are that are being built. I can tell you that as I just talked about with lasers, we are actually improving our position in the market. So, when things turn on, we think we'll benefit. I would say that we are taking a very conservative look at the second half and that's sort of why we're saying at least 10% of revenue growth. We are setting ourselves up, like I said, for success, but there is uncertainty given the COVID overlay, given China dynamics and certainly what might be a fragile global economy. So we're proceeding with caution and we hope to exceed everybody's expectations in the second half.
Tom O'Malley: All right, that's helpful. My second one was a broader topic. You spoke in your prepared remarks about  agreement with the United States Air Force laboratory and I think you mentioned that it's additive to the SAM. Obviously, it seems like something you're really excited about. Can you talk about how additive that could be to the SAM and what areas you could see growth?
Steve Daly: Yes. I'm glad you asked that question because the millimeter wave GaN mimic process is very different than the discrete RF power products that we currently are building under the pure carbide brand. So, this is a mimic process that allows us to include capacitors, inductors, resistors, and build a complete chip, which allows us to make a complete power amplifier as well as integrating switches and LNAs on to the same power amplifier chip. So we size this market today at north of $200 million when we look at the competitive landscape. We think that in five years, that number will be over $350 million and today we have zero market share, so we are very excited to work with AFRL. This process fills the gap in our technology portfolio. AFRL has been working on this process for years and they have effectively set the bar for power density and frequency performance. So we really look forward to implementing this process. I will say that we're taking the approach of a copy smart, where we will literally pick up the modules and the methods and the formulas and drop them into our fab. In areas where we may not have the exact same equipment that the Air Force has, we will either go out and buy that equipment, some of which by the way is already on order. Or we will work with the Air Force to use the existing equipment that MACOM has in-house. This is not a science project, this is a transfer of technology on a process that's known to have leading performance and we will build a product line not only for the defense industry as a primary target - primarily airborne applications, phased array radars most specifically - but we'll also target commercial applications including some of the ones I mentioned in the script - test and measurement, SATCOM - this process lends itself very nicely to Ku band or 14 gigahertz to 15 gigahertz products as well as Ka band, which is in the 30 gigahertz range. So we're very excited about it. It is as I pointed out a two-year project. We are we hit the ground running and it is absolutely additive to our overall SAM.
Operator: Our next question is coming from the line of Karl Ackerman with Cowen. Your line is open.
Karl Ackerman: Hey, good morning, gentlemen. Two questions, if I may. Just that maybe to follow on that millimeter wave discussion. Any update on your GaN-on-silicon partnership? I guess what sort of customer feedback and design opportunities are you getting from your recently-introduced GaN-on-silicon carbide amplifier line? I think your silicon carbide products previously would take until the end of this calendar year to ramp. But I guess I'm curious if design wins are ahead of your prior view 90 days ago. And I have a follow up.
Steve Daly: Yes. The first part of your question was regarding the GaN-on-silicon project with ST. I can tell you that that project continues to proceed and is making progress. I can report that all of our equipment is in place at ST's  fab, and they are going through a series of DOEs to bring that equipment online and qualify it. Now that the equipment's online, they can also finish the development of the transistor cells that we need to make our products. And so they're making a reasonable progress on that front as well. We would expect to receive the first devices from their process in about six months' time and from that we will begin to evaluate the competitiveness of those transistors and look at how they how those transistors perform inside of very specific applications. In terms of your question on GaN-on-silicon carbide under our Pure Carbide product line. As you know, we have five products, most specifically, products that are targeting what we call multimarket. So these are generally 50-watt all the way up to a 2.6-kilowatt product. So they're targeting industrial and defense testing measurement type of applications. Since we launched this product line, we have won over $2 million of development, or I'll call special project business from customers in the defense industry. So they're very excited, they like what they see, we're doing some novel things regarding achieving high power levels. So, I can tell you that our salesforce is extremely excited to have these products and they're off running. So, we're excited about the early successes, but I'll also caveat those comments that these markets are also slow-moving. It's about planting lots of seeds and lots of different applications so we can build up the revenue. But I would say that the team is on track. We have another wave of products that are in development that we're targeting for release before June of this year. And so, the team is very focused on executing that new product introduction plan.
Karl Ackerman: I appreciate that. For my follow up, clearly, you've seen the consolidation in the optical space as an acknowledgement of how important this will be on a go-forth basis for across data center and telecom markets. And I appreciate the demand update in your optical business in your prepared commentary, but could you discuss a bit more detail the opportunity you see from 400G? I asked, because the  debate for quite some time has been the analog-based optical products are challenged as line speeds grow to 400G. But even December you introduced several products for 400G and even 800G. So your longer-term opportunity in optical  would be great. Thank you.
Steve Daly: Yes, thank you for that. And so, I think you're right. As you move higher in the data rates, it certainly does get harder for the analog solution to be successful. Just to remind everybody, a part of our core business is supporting 100G analog solutions, which represent 25G per lane and these lanes run in parallel when combined for 100G. We're now doing the same thing to support 200G applications with 50G per lane. We will continue that effort and that scaling and we'll have 100G per lane solutions that support 400G. The 400G DR4 market is a very large market and we think we can be successful there. I can tell you that our focus is primarily was effectively  quad channel TIAs, as well as optical drivers - multi-channel optical drivers. So that is really where we see ourselves being very, very competitive. We are a merchant supplier and we see there are companies that have their own DSPs that want to look to Macom to support them, not only for I'll say 100G DR1 but also 400G DR4. Our focus is continuing to be successful with the TIA in the drivers and we are working on what I would consider a complete analog solution, which includes the clock and data recovery. That may be more challenging for us to be successful there, but it is a work - it's on our roadmap and it's work that we're doing today. So that's really the focus for the company and then of course, when we overlay lasers, when we overlay silicon photonics, you're going to get a bump in revenue due to that, those new technologies adding content to our business.
Operator: And our next question coming from the line of Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Thank you. Good morning and congratulations on the results. Steve, back to the AFRL announcement you had earlier this week, where was that process already today? And my understanding your fab in Massachusetts is pretty full. So, what type of CapEx commitments do you have to do in order to get that project up and running?
Steve Daly: Right. So that process was developed at Wright-Patterson's Air Force Base in Ohio and that's in their labs, let's just say, where they're in some other locations, they have semiconductor capability and development capability. So our plan is as I pointed out, is to move that technology directly into our fab. In terms of your comment regarding the fab being full, I would say that our fab is highly utilized, but we have tremendous leverage. We run a sort of a medium volume, high-mix business and this technology fits perfectly into that model because we are targeting very high-end applications. We're not talking about tens of thousands of wafers. We're talking about hundreds or thousands of wafers, which is very manageable for our business. We don't see that we're going to have capacity constraints and to the point that we see that coming, of course, we have staff and at the various pinch points we'll add additional equipment. In terms of the overall capital expenditure, I would say that we can complete this transfer and spend between $2 million to $3 million of capital in total over the course of two years.
Tore Svanberg: Wow, that's great news. And my follow up question is on data center. You did talk a little bit about when you expect telecom to perhaps start improving. But any visibility on data center other than you guiding it to be flat sequentially this coming quarter?
Jack Kober: Tore, it's very difficult for us to really look out to Q3 and Q4. So, I would not necessarily want to comment on what might happen in the back half of the year. I will say that we expect both industrial and defense and data center business to experience high double-digit growth this fiscal year where we look year-over-year. So, we would expect the data center to grow by at least 20% or more year-over-year. There are new design wins as we talked about on our last conference call in Asia. That good work continues and we're picking up market share in Asia for our 25G in 100G products. And so, we think there's lots of interesting opportunities. We're also going after different areas within the data center. As I highlighted in my comments, we're looking seriously at working with customers that are developing solutions using copper cables, which are very, very short reach connections within the data center. And so that's an area of interest for Macom and I'm confident we can be successful there.
Operator: Next question coming from the line of Quinn Bolton with Needham. Your line is open.
Quinn Bolton: Hey, guys. Let me offer my congratulations on the great margins. Steve, I just wanted to come back to the AFRL agreement and wondering, is that exclusive? Or would they have the rights to license that process to other folks in the mimic industry with them you compete?
Steve Daly: So, I can't get into the specific details of the agreement, so it's difficult for me to comment there. I will say that ultimately, AFRL's goal is to have this technology industrialized to the extent that they want to work with other wafer foundries or defense contractors that have their own fabs. They'll do that. So it's hard for me to say or comment on what they might do, or what they've done in the past. I can tell you that they are very focused on seeing Macom be successful. This is good for them, it's good for us, it'll be good for a variety of U.S. Defense programs, where we kick into production. There are very limited companies here in the U.S. that have this capability and so we will be a part of the select few and Macom has a very strong manufacturing muscle and when we put our minds to moving things into high volume production, we can do it very successfully. So the Air Force is very excited about that as our way . One other point I'll highlight, every year with our employees, we create a top 10 priority list and this is right up there on that list.
Quinn Bolton: Great my second question is just kind of looking forward to calendar 2021 in the next round of 5G tenders if 600,000 base stations drives something like 8 million to 10 million front haul modules. I guess my question is, do you tend to see the module vendors beginning to build or pre stock inventory ahead of the tenders? Or do you think that a lot of that manufacturing build only happens once those tenders are released?
Steve Daly: We do see some customers getting in front of it and they do start production ahead of those tender releases. We have seen some movement of our channel inventory in the last I'll say four weeks. It's probably addressing the exact point you're making.
Quinn Bolton: Got it. So it sounds like the leading indicators are pretty good at that. That activity is picking up even though we don't have exact time on the tenders?
Steve Daly: Correct.
Quinn Bolton: Great, thank you.
Steve Daly: Thank you.
Operator: And our next question, coming from the line of  with Raymond James. Your line is open.
Unidentified Analyst: Yes. Thank you. Good morning. Yes, the first question is regarding some of the commentary regarding some of the tight supply you've seen in the industry, particularly at some of the foundries and back end vendors, I guess, firstly, for your internal capacity, if you'd give us some more color about where utilization is right now. And it sounds like you're comfortable in your ability to meet that supply from internal to more color there. And then with regard to some of the outsourcing, what we've heard from some others is some price increases at some of those outsources in order to secure supply. Are you seeing that as well? And are you able to pass some of those costs increases, if that's the case on to your customers?
Steve Daly: Great. So thank you for the questions. And our fab here in Massachusetts runs seven days a week, 24 hours a day. We're always busy; I can't really comment specifically on the actual utilization that varies from period to period. I would say that we are not constrained by our ability to meet our goals. And to the extent that we need to hire more people or add more equipment, we'll certainly do that. Clearly, from our operating margins, achieving sort of a 13-year high, you can see that we're running very efficiently right now. And we do expect that to continue. Regarding the industry and are some of our wafer foundry partners, we do typically have long term agreements, including price agreements, I can't really comment specifically what any of our fab partners are doing with pricing to us directly. As generally speaking, though, whether it's a fab or a component or a package, if we see that our suppliers are raising prices, we will go through a calculus to determine whether it's appropriate to pass that cost on to customers or not. In some markets that have easily done in other markets, it's just not acceptable. So there's a bit of a balancing act there. But I would say generally speaking, we're not concerned about the supply chain. As I highlighted our operations, our planners, our team and purchasing does just a phenomenal job. And the results clearly show, as we've been driving margins up, gross margins up, they've had a big hand in some of that work. So I congratulate them there. This is not on our top worry list, we worry about getting our products into the market as fast as we can, and making sure that those products are extremely competitive. And that's our focus.
Jack Kober: And just to build on that, our teams are constantly moving through continuous improvement initiatives to help offset some of those price increases to the extent that we can. And then just one other point of clarification, I think Steve had mentioned, our operating margins were at a 13-year high, I think it was a 13-month high in my prepared remarks, 13 quarter high on that front, not 13 years. Thanks.
Unidentified Analyst: It's very helpful. Thank. As a follow up, if I could just drill into a little bit about some of the conservatism you expressed, but particularly in data center for the second half of the fiscal year. Based on 20% year on year growth, that I guess on a quarterly basis for this levels that you're talking about. There is some digestion at the customers may be burning off inventory. So and I guess, is this a question of that inventory needs more time to burn off? If it just, you know, general uncertainty and you just being very conservative and if you can just explain that a bit more for me?
Steve Daly: Yes, I think a lot of what you said applies right to our view and giving guidance. And as you know, we're in different parts of the data center, we're in short reach, high volume 25G, short reach applications, we're in 100 G SR4 for applications. We're now getting designed into 400G PAM4 applications. And each one of these programs is running at a different rate at different customers for different reasons. So, I have seen and we've experienced, certainly in the last 18 months, a lot of different dynamics, even within the data center, we had a tremendous Q4 in the last fiscal year, driven by the data center, it was about $44 million of revenue. And so if you take that quarter out and if you look at how we've been ramping for the last four or five quarters, you do actually see incremental growth. Our Q1 results were actually better than last year's Q3 results. So we do like the steady progress we are diversifying the revenue stream which I think is very important. But it's just very difficult for us to comment on what might happen in the back half of the year given the uncertainty.
Operator: Our next question coming from the line of Ruben Roy with Benchmark. Your line is open.
Ruben Roy: Hi, thanks for taking my question. Steve, I just wanted to follow up on the previous question and the supply commentary. Certainly sounds like you're happy with sort of where you are, from a supply perspective. But I want to understand in terms of any bottlenecks out there that other suppliers might be having? Are you hearing anything from your customers on potential pauses of builds? Because certain components, whether they're passives or otherwise are not widely available at this point? Or do you think that, everything's kind of flowing smoothly throughout the supply chain?
Steve Daly: Yes, so I'm not aware of any specific bottlenecks that are, where our customers are having component shortages, that's preventing them to ramp and purchase make on products. With that said, I will say that the automotive industry has experienced some issues. And we do have a few parts designed into some platforms. And this may be done a small impact on those volumes. But I would also say that there's other dynamics in the market, including COVID, in general and demand within some of these end markets. So it's difficult for us to connect all the dots. But I would say generally speaking, we do not have supply issues with our main suppliers. Our team is doing a great job managing anything that comes up. And it's just not an issue for this fiscal year.
Ruben Roy: Got it. Thanks, Steve. And just a quick follow up for Jack, great margin performance again, and with the guidance for the March quarter, you know, obviously some product mix and market segment mix going on. Can you give us a little bit of an idea with some of the detail that you've given us around data center and telco? You know, and obviously, with infrastructure and defense continues to be strong, how to think about gross margin as you kind of flow through the year?
Jack Kober: Thanks, Ruben we've been pleased with our gross margin improvements. And as I mentioned, there's a number of things that we have underway. We have not disclosed any longer-term target model that's out there. We have been in the high 50s going back over time, we're starting to bump up against that now, which is you know, credit to the teams and all the work that they've been doing but we still believe there's more for us to do internally to help try and improve those margins going forward. And with the guide going into Q2, we've taken that up to the to the 57 to 59 range, which was a step up from our guide last quarter.
Operator: And our next question coming from line of C.J. Muse with Evercore ISI. Your line is open.
Kevin Feeney: Good morning, this is Kevin Feeney on for CJ, thanks for taking the question. So there's kind of been an increased focus on US National and domestic semiconductor manufacturing in recent months, including additional segments provisions in the most recent NDAA. So does MACOM stand up  potentially benefit on the shift from either additional contracts on the more positive stance toward U.S.  or increased subsidies for either R&D or manufacturing beyond the announced US Air Force contract?
Steve Daly: Yes, I think it's a very important topic that you've raised. And we will certainly be canvassing various agencies for funding to modernize and expand and improve. To the extent that there's grant money we want to be sitting at the table with our handout. So yes, that is absolutely something that we are focused on. I can tell you that our fab here in Massachusetts is already considered a US trusted foundry, which makes it a preferred fab to run DOD business in. And so we will certainly pursue those avenues for grant money or contracts or support. I will say that those are very difficult to win. It's a multiyear program. So even if we started today, I wouldn't expect any major awards for monetization for a year or two these things generally take time to come to fruition.
Kevin Feeney: Okay, great. Thank you and lots of discussion on data center and Telecom, but industrial. I think overall, it's kind of expected to see a strong cyclical recovery in '21. And I think you're already starting to see a pretty good growth there. So how are you positioned to kind of take advantage of potential upside here on core industrial, whether that be underlying demand or share gains as we go through '21? Thank you.
Steve Daly: Thank you, I think we are getting stronger and stronger, and we're continuing to improve the product line to make our products more competitive. We have a focus on cross selling a lot of our technologies into the industrial market. That includes our optical capability, our high-speed analog, and certainly, our RF and microwave. We see that this is a sort of a target rich environment for the technology that we have. We are making sure that all of our engineering organizations are spending more than their fair share of time in the industrial markets. And so that's something that's a little different than what MACOM has really done in the past. And as you highlighted today, industrial and defense is about 40% of our overall revenue. And it is probably our largest segment; it could be our continued to be our largest segment as we go forward. So we do expect long term growth from that end market. There are a numerous number of N sub markets within that industrial and defense headline name. And we are absolutely focused on growing this part of our business.
Operator: Our next question coming from the line of Harlan Sur with J.P. Morgan. Your line is open.
Harlan Sur: Morning, congratulations on the solid results and execution. As you guys mentioned, you know, we're starting to see 400 gig optical deployments in cloud and hyper scale. I think Amazon was the first to pull the trigger last year, and you've got a lot more of the cloud type transitioning this year. I know I think you guys are targeting this market, right with your amplifiers, your 56 gigabyte laser drivers. But I feel like you guys also have the opportunity to potentially intercept this emerging opportunity with a 56 gigabyte laser. I think you already have a 56 gigabyte laser that supports your 100 gig single lambda prism solution. So can you guys just repurposed the laser for let's say 400 gig, TR4 module configurations? And just what's the plan of attack here for this particular opportunity?
Steve Daly: Right, so you are correct, that we can use our laser technology for applications at 400G. And we will absolutely do that. We've talked a lot publicly about our 25G laser; I can tell you that we have versions of our 25G lasers that are working at 50G PAM4. And so obviously, the next step will be 100G PAM4. But we'll have to see if we're able to do that. But the short answer is yes, we will address that market, whether it's a DFB laser or a CW laser. We do see a lot of our customers that are working at 400G moving towards silicon photonics, and they'll use a Mach-Zehnder modulator. And they'll require a CW laser. And so I think in my prepared remarks, I talked a little bit about that. And it's an area of focus for us.
Harlan Sur: Great, thanks for the insights there, and you guys continue to do a good job of building out the catalog portfolio. Sounds like you've got good traction with the pure carbide line of GaN amplifiers. Do you guys manufactured these GaN Pas in Lowell, or Ann Arbor, or are these with your outsource manufacturing partners? And then if you could just give us a quick update on 10 gig PON activity trials qualifications or these deployment timelines. Thank you.
Steve Daly: Sure. And maybe I'll take the second question first. GPON is going well, we are seeing and by the way, I'll highlight sort of at our base business is 2.5GPON, where we think that total market size for lasers for example would be about 80 million lasers a year. We estimate we have about 50% market share and that's growing. As we look at 10 GPON I've talked about in the past that we look to expand our product line to include more products, we think potentially up to five different products including different types of lasers as well as an ADS or photo detectors and basically, a burst mode TIA. So very - interests in lasers as I mentioned. So, we are beginning to see higher volumes, we think our 10G overall revenue year over year will grow by at least 50%, maybe closer to 100%. So we are seeing an uptick in the volumes. And we think the back half of this year and going into next fiscal year, those volumes will increase. Regarding your comment or your question our gain portfolio. So it really depends on what parts of the portfolio you're referring to. The gain on silicon today we have licensed to a third party to manufacture for us. In the case of our other power devices, we have not commented publicly on where that those products are being manufactured.
Operator: Our next question coming from the line of Richard Shannon with Craig-Hallum. Your line is open.
Richard Shannon: Great. Thanks, guys for fitting in here. I think, Steve, my first question is on data center, you've talked about for a few quarters about seeing some success in international markets. As we look forward here, I think your comments earlier in the call about potential seeing 20% growth in data center, how should we think about the relative dynamics between domestic and international growth? And is domestic going to grow? And what are the dynamics driving success in the international markets here recently?
Steve Daly: So I would say that today, the vast majority of our businesses U.S centric, and we're just beginning to tap into the Asia market. And so that's the first comment I would make. The dynamics around the international market are primarily 25G and 100G analog solutions. We are seeing market share gains on CWDM4, which is very exciting for us because it's a very large market. And we have the right products. And we are beginning to form very solid relationships with our target customers in Asia. So generally speaking, the dynamics for the market, we've talked a lot about today about the uncertainty and the timing of various programs. I probably don't have any other comments on what I've already said, on that point.
Richard Shannon: Okay, fair enough. My quick follow up question on gross margins. Jack, I think he talked largely about efficiencies, any dynamics here regarding mix, either backward looking, or specifically forward looking. I think your industrial and defense markets typically are fairly rich, and you're growing there, but you didn't identify mix as a driver there. How should we think about those dynamics as we look at your gross margins going forward?
Jack Kober: Yes, thanks, Richard. We do have a very diverse portfolio of products with some of them manufactured internally and others that that are fabbed outside of MACOM. So, that mix item can come into play on numerous occasions, in terms of looking at our individual end markets, in specific margins there, we haven't broken that out, historically, and it can vary from period to period, depending on what we have going through, but I don't think there's anything too discernible looking back in terms of having a major impact on our margins. And, going forward, we've got we've got initiatives that are happening, not only within our manufacturing locations, but our operations teams are also working with folks on the outside to see what we can do to become more efficient as we go forward from a margin point of view. So there's a lot of things going on internally within MACOM as well as you know, externally to make sure we stay focused on our margins.
Operator: I'm not showing any further questions. I would now like to turn the call back over to Steve Daly for closing remarks.
Steve Daly: Thank you. In closing, we would like to acknowledge our customers, suppliers and our hard-working employees for making all these results possible. Have a nice day.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for your participation. You may all disconnect.